Operator: Good afternoon and welcome to the Knowles Corporation Second Quarter 2019 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Here with the opening remarks is Knowles' Vice President of Investor Relations, Mike Knapp. Please go ahead.
Mike Knapp: Thanks, Ian and welcome to our Q2, 2019 earnings call. I'm Mike Knapp. And presenting with me on the call today are Jeff Niew, our President and Chief Executive Officer; and John Anderson our Senior Vice President and Chief Financial Officer. Our call today will include remarks about future expectations, plans and prospects for Knowles, which constitute forward-looking statements for purposes of the safe harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products; anticipated trends in company sales; expenses and profits; and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings, included, but not limited to, the annual report on Form 10-K for the fiscal year ended December 31, 2018, periodic reports filed from time to time with the SEC and the risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Knowles disclaims any duty to update such statements, except as required by law. In addition, pursuant to Reg G, any non-GAAP financial measures referenced during today's call can be found in our press release posted on our website at knowles.com, including a reconciliation to the most directly comparable GAAP measures. All references on this call will be on a non-GAAP continuing operations basis, unless otherwise indicated. Also we've made selected financial information available in webcast slides, which can be found in the IR section of our website. With that, let me turn the call over to Jeff who will provide some details on our results. Jeff?
Jeff Niew: Thanks, Mike. Thanks to all of you for joining us today. I'm pleased with our results in the first half of 2019 as we are making solid progress against our strategy to deliver high value, differentiated solutions to a diverse set of growing end markets. For Q2, we reported revenue of $205 million at the high end of our guidance range and up 9% from the year ago period due to better than expected sales of microphones and continued robust demand from precision devices. EPS of $0.22 was above the high end of our guidance range, driven by higher sales volume. In our Audio segment, Q2 revenue was up 5% from the year ago period due to better than expected MEMS microphone sales into the year and IoT markets and stabilized trends in mobility. Overall revenue from Audio comprised 78% of total sales in the second quarter. In the Precision Device segment, sales were up 24% from the year ago period, hitting record levels for the sixth consecutive quarter to the continued demand for our differentiated products across multiple end markets and a tuck-in acquisition. Precision Devices represented about 22% of total company revenue in the quarter. Q2 sales in Audio were better anticipated as we realized the benefits of our diversified portfolio of solutions for the Mobile, Ear and IoT markets. In Mobile, demand for microphones improved sequentially in Q2 as we expected following inventory correction at our largest customer in the prior quarter. In addition to stabilized mobile trends at this customer, we are seeing strong year-over-year growth in this OEM's non-mobile platforms and expect full year revenue growth from this customer. Sales to Chinese OEMs were modesty lower than the year ago period. And while we are seeing a fair amount of volatility in this market, a positive macro trend continue to be in place for Audio. Customers in this region are focused on improving Audio through higher performance microphones, multi-mic adoption, as well as enabling new features through our Intelligent Audio offerings. We expect modest growth in this region in 2019 and are optimistic about China in the future due to our opportunities to grow content per device. Now some details around Intelligent Audio. We are expecting to see the debut of handsets, which include our multi-core audio edge processors later this year. These processors are best-in-class in terms of performance and power and together with our high-performance acoustic, uniquely position us in this growing market. We will discuss more about the specific features of our edge processors enable once these handsets are launched. We continue to expand our algorithm partner program and are now actively engaged with a broad group of software partners and several large OEMs that are developing their own algorithms for this platform. This enables an impressive set of capabilities and use cases that only our open DSP platform can enable. OEMs place a premium on having high performance and low power offering that is open and enables audio -- new audio use cases. This is exactly what we are delivering. We remain optimistic about our opportunities for intelligent audio. That said, 2019 revenues have been affected by the weakness in the Mobile segment and the timing of handset launches incorporating intelligent audio. We now expect 2019 intelligent audio revenues to be between $20 million and $25 million. While these delays in product ramps have impacted 2019, we continue to see very good reception to our audio edge processors and look forward to providing deeper context around our DSP architecture and the TAM intelligent audio enables at our Analyst Day in September. We now expect to spend $30 million to $35 million in intelligent audio R&D in 2019, down from the previous estimate of $38 million. We will continue to be disciplined with our R&D investments across the company and believe that intelligent audio is an important growth opportunity, which has synergies with our acoustic products. Moving to Ear and IoT. We are pleased to announce last quarter that we develop a new hands-free reference solution to enable our customers to build wireless headsets that allow users to talk directly to Alexa. The Knowles SmartMic headset development kit for Alexa voice service brings users natural access by simply saying the Alexa wake word. This solution enables industry's lowest power voice wave, which is necessary in a small battery-operated device. In microphones for the ear trends remain strong as customers add more mics and transition to our digital platforms. We expect customers to launch products this year for the ear market, where we have significant content gains driven by the adoption of multiple microphones, balanced armature receivers and intelligent audio solutions. I am optimistic about our opportunities in the ear market. In IoT, we are pursuing input opportunities across TVs, Bluetooth speakers and numerous other connected devices. In our Precision Device segment, we continue to see strong sales growth from our high-performance capacitors and millimeter wave RF solutions for a diverse set of end markets. This business is playing an essential role in our ability to increase exposure to fast-growing end markets and enhance shareholder value. Demand for our high-performance capacitors remained strong particularly in defense, medical and telecom end markets. Despite a broader slowdown in commoditized capacitors, our differentiated solutions have been -- have seen sustained demand, because they add significant value to our customers' mission-critical applications. Our millimeter wave RF solutions are seeing solid demand from the defense market for radar systems, which has been the primary driver of this product category today. We are now beginning to see initial orders for 5G millimeter wave base stations, which will serve as a large growth opportunity for us over the next several years. Just last month, T-Mobile announced that they had made the first 5G handset available to customers to tap into LTE and millimeter wave high-band spectrum simultaneously. We are at the very early stages of the 5G rollout. And with the continued growth in military demand, we expect revenue for millimeter wave RF solutions to grow to over $100 million in 2021 from less than $20 million in 2018. Overall, our strategy to invest in high-value solutions and diversify our markets and customers is working and the benefits of the strategy are reflected in our financial results. With that, I'll turn it over to John to expand our financial results and provide our guidance for the third quarter. John?
John Anderson: Thanks, Jeff. We reported second quarter revenues of $205 million at the high end of our guidance range and up 9% from the year ago period, driven by increased shipments in both the Audio and Precision Device segments. Audio revenues of $160 million were up 5% from the year ago period and higher than expected driven by increased shipments of MEMS microphones into the Ear and IoT markets. Microphone sales into the mobile market also stabilized following an inventory correction at our largest customer in Q1. Intelligent Audio and hearing health sales remain consistent from the year ago period. The Precision Device segment delivered record revenues for the sixth consecutive quarter. Revenues of $45 million were up 24% from the second quarter of 2018, which was the result of 18% organic growth, driven by strong demand for high-performance capacitors in the defense, medical and telecom markets and an acquisition completed in the first quarter of 2019. Second quarter gross profit margins were approximately 38% at the low end of our guidance range and 130 basis points below the year ago period due to costs associated with the microphone warranty claim and an unfavorable customer and product mix within the Audio segment. Precision Device gross margins were down 320 basis points compared with the second quarter of 2018 due to unfavorable product mix and higher raw material cost. Operating expenses in the quarter were $53 million down 2% from the year ago period due to reduced R&D and incentive compensation expense within the Audio segment. For the quarter, adjusted EBIT margin was approximately 13% at the high end of our guidance range and up more than 130 basis points from the second quarter of 2018 as we continue to deliver strong operating leverage and increased sales volume. Non-GAAP diluted EPS was $0.22 above our guidance range and up more than 20% over the second quarter of 2018. Further information including a detailed reconciliation of GAAP to non-GAAP results is provided in the financial tables of today's press release and can also be found on our website at knowles.com. Now I'll turn to our balance sheet and cash flow. Cash and cash equivalents totaled $54 million at the end of Q2. For the second quarter, cash generated from operations was $22 million above the high end of our guidance range due to better-than-expected earnings and lower-than-forecasted inventory levels. Capital spending was $9 million in the quarter below the low end of our guidance due to timing of spending within the year. Moving to the third quarter of 2019, we expect total company revenue to be between $225 million and $245 million. Revenue from the Audio segment is expected to be between $185 million and $195 million, down slightly from Q3, 2018 due to lower microphone shipments into the smartphone market partially offset by higher shipments of mics in the Ear and IoT and increased balanced armature receiver shipments. Precision Device revenue is expected to be between $40 million and $50 million, up more than 20% over prior year levels driven by strong organic growth across defense, medical and telecom markets and the impact of an acquisition which was completed earlier this year. We project non-GAAP gross margin for the third quarter to be approximately 39% to 42% up more than 200 basis points from the year ago period driven by favorable product mix improved factory capacity utilization and productivity gains, partially offset by higher raw material cost in our Precision Device segment. R&D spending in Q3 is expected to be between $20 million and $22 million down $2 million from prior year levels due to optimization of R&D spending within the Audio segment. We are projecting selling and administrative expense to be between $29 million and $31 million, up $1 million from the year ago period due to higher anticipated outside legal expense. We are projecting adjusted EBIT margin for the quarter to be in the range of 18% to 20% and expect non-GAAP diluted EPS to be within a range of $0.35 to $0.41 per share. This assumes weighted average shares outstanding during the quarter of $94.9 million on a fully diluted basis. We are forecasting an effective non-GAAP tax rate of 13% to 17% for the quarter. Please refer to our press release for our GAAP and non-GAAP reconciliation. For the third quarter, we expect cash generated from operations to be between $40 million and $50 million and capital spending to be between $10 million and $20 million. Full year 2019 capital spending is expected to be between 6% and 7% of revenues. For the full year, we expect low to mid-single-digit revenue growth with gross profit margins of approximately 40%. R&D is expected to be slightly more than 10% of revenues down slightly from both previous estimates and prior year levels. SG&A is expected to be up 1% to 3% and we are forecasting an effective non-GAAP tax rate to be between 13% and 17% for the full year. I'll now turn the call back over to Jeff for closing remarks and then we'll move to the Q&A portion of the call. Jeff?
Jeff Niew: Thanks John. Our 2Q results reaffirm that our strategy to invest in high-value differentiated solutions and diversify our end markets and customers is delivering shareholder value. As we continue through 2019, our company remains uniquely positioned. In Audio, macro trends around better acoustic performance and edge processing remain positive and are enabling us to increase our content per device. In Precision Devices sales reached record levels for the sixth consecutive quarter, as we continue to deliver strong revenue and earnings growth, both organically and through tuck-in acquisitions. I'm increasingly confident that we can drive revenue growth with strong operating leverage in 2019 and beyond. Operator, we can now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Harsh Kumar. Your line is open.
Harsh Kumar: Yeah. Hey, guys, congratulations. It seems like you guys are executing just about as well as a company can in this tough environment. Jeff, from what I remember, this is the first time you're really highlighting BA, balanced armatures, in your guide and kind of seem to talk about it a little bit more than the context of its arriving or it has arrived. I was curious if you can just maybe give us some more color around what you're seeing in that market, if you're actually seeing these things going to handsets or is this pretty much a headset sort of a phenomena still?
Jeff Niew: Yeah. So, I don't want to steal too much thunder, Harsh, here from Analyst Day that's coming up in September. I'll give a little sector about the Analyst Day. But, I mean, we've been selling BAs and it's an ear product into the hearing health market and actually into niche high-end headsets for many, many, many years. I think what we're seeing changing in the marketplace, Harsh, is that there's this move towards these TWS, true wireless headsets, in the ear that are extremely small in size. And the big benefit, as you think of these true wireless handsets, Harsh, is that they're starting to look more and more like hearing aids. And why do guys use these devices in hearing aids? Because the size is so small allowing you to pack more stuff in -- or more technology and more features into each ear. So just give a couple of examples that we keep hearing. Balanced armatures are interesting. I can make my battery larger. It will lengthen the battery life of the device. Balanced armatures are smaller, I can add more sensors to the device, create more space. So, we're pretty excited about this opportunity. Now, I would say is there's going to be some customers in 2019 that are going to start -- you're going to start seeing with balanced armatures. But we really see this as more of a 2020 story that -- again, we're going to lay out some pretty good detail -- on this more detail on this at the Analyst Day.
Harsh Kumar: Hey, Jeff, one more on that one. My understanding is you're kind of the leader in this particular space. Maybe you could give us a sense of competitive if there's anybody else that's out there that does this for a living?
Jeff Niew: I mean, there are some competitors out there that come from the hearing aid side of the business and that have been around for a while. I think what makes this kind of different here, Harsh, is that we've been selling in the commercial space -- our MEMS microphone business for many, many, years. Coupled with our capability to understanding the hearing health market stuff that things are very small in the year. So, I mean, I would say that the way we see the future is, there's going to be opportunities for us. I'm sure there's always going to be some competitors in here, but I think we're very uniquely positioned in the fact that we have the balanced armature. We're very strong in the microphone side which -- let's not forget on the microphone side that's pretty exciting as well. We're starting to see TWS headsets come out with three microphones per year, so that's pretty exciting. And, of course, we have the Intelligent Audio opportunity as well.
Harsh Kumar: Sure. Great. And I wanted to ask you about China as well. Some companies are now beginning to come out, Jeff, and talk about shipping to China. Are you -- or at least Huawei, sorry. Are you able to do so? And to what degree is that baked into the guide?
Jeff Niew: So, Harsh, a lot of our products that are -- are most of our products are made outside the U.S. And we have been shipping all along to these customers to Huawei specifically. They're not covered by the ban. But a few products that we have that are made in the U.S., we will be applying for licenses and we'll see where that goes. But regardless of the outcome on those licenses, we don't see it being material impact on our 2019 revenues. So, from our perspective is 2019 is business as usual and we don't see it having a big impact on our business.
Harsh Kumar: Understood. Congrats guys. I'll go back in queue.
Operator: Your next question comes from the line of Suji Desilva. Your line is open.
Suji Desilva: Hi, Jeff, hi John. On the Intelligent Audio programs the pushouts, can you talk about what the drivers there were? And conversely what the design win pipeline that's coming to market in the second half 2019 looks like in terms of maybe order of magnitude of design wins or things like that? Thanks.
Jeff Niew: Yes. So, well, first let me say that -- I will say just more generally speaking and I would say obviously has an impact on the IA business, but to some extent on the microphone business as well is that what we're seeing is, is that the high end mobility platforms are not selling that well. I mean we are seeing -- and there's more demand I would say in the mid and lower tier of phones. And as you look at our plan for IA within this year, a fair amount of that growth was coming from mobility and in the high-end platforms. So, what we've kind of seen I would say without going into the customer specifically, we've seen delays in introduction of phones. We've actually seen cancellations of entire phone platforms that we're going to use the Intelligent Audio as well as the platforms that we're planning on using it that the demand is down. So, I mean when I think about this is I'll tell you I'm very excited. The multicore DSP will be in a number of handsets in the near future, the next two, three months that will be introduced. And when that comes out, we're really excited to talk about what features this is enabling beyond just Voice Wake and because there's a fair number of features it's enabling. So, we're quite excited about that. We're excited about the opportunities within IA and I think we're going to take this time at the Analyst Day to really kind of dig in with our investors about why we're differentiated, why our architecture is differentiated and really lay out more about the TAM it enables the Intelligent Audio.
Suji Desilva: Okay. I will look forward to that. And you talked a lot about the headset opportunity the earbud opportunity. Is there any way to talk about the Amazon-enabled sort of portion of that? And is share the right way to think about how well your positioned relative to competitors as Harsh just asked about? Or is there another way to think about how you're positioned in that earbud market because it is coming up pretty quickly it seems like to us.
Jeff Niew: Yes. I mean I'm not going to just comment on any specific customers especially ones that don't have products in the market. We're not going to comment about that. But I guess what I would say is this, if you think about our success in the hearing health market over the last 30, 40 years, we make very small speakers and we make very small high-performance low-power microphones for the hearing health market. And what we're seeing here is that that demand or that request is coming exactly in these TWS headsets. And so we really feel like we're uniquely positioned in order to capitalize on this shift from over-the-ear to in-the-ear headsets.
Suji Desilva: Okay. All right. Thanks guys.
Operator: Your next question comes from the line of Anthony Stoss. Your line is open.
Anthony Stoss: Hi guys. John if you have it handy, do you know what percentage of revenues in Q2 was directly from handsets? And I have a couple of follow-ups.
John Anderson: We don't really talk about it from a quarter standpoint, but we can tell it from a full year standpoint. I mean this really kind of supports our diversification. We think mobile end market will be right around 30% or less of our total revenues for Knowles in 2019. And that's coming from -- you think when we spun it was more than two-thirds. So, it's really growth in ear, growth in IoT, and growth in PD.
Jeff Niew: Yes. And I think this year's kind of -- I think I'll add a little color to this Tony. I think we've been expecting this for a while, right? I mean the mobile market is not growing. Now, we have content gain opportunities in mobile still. So, I think when we think of like the peers that are selling to mobile, we do have content gain opportunities so it's not -- mobile's probably quite not as bad as it is for some of our peers. But when you start talking about Ear and IoT, you start talking about the balance armature opportunity in the ear; you talk about millimeter wave, and the high-performance capacitors. We got a lot of growth factors here that are starting to really take over and drive down the total amount of sales that we have in mobile without dramatic reductions in mobile. I mean I guess I'd make one more comment Tony. We -- a lot of times, we talk about Ear and IoT as a percentage of our microphone sales. I think the last couple of quarters we had said it would be over 25%. We're now thinking it could to be closer to 30% of our microphone sales will come from Ear and IoT. So we're really optimistic about those markets.
Anthony Stoss: Let me segue into BA. We're a big fan of your BA. You've done a lot of work on it. Can you help us out what you expect gross margins to be? Is it accretive to the kind of 40% to 42% your run rate now as you see that ramp? Also can help us understand what percentage of your CapEx right now is going towards expanded BA production? And do you think you're going to have enough here kind of late this year into early next?
Jeff Niew: So I'll let John put a little color, but let me just make a comment. Our expectation is that the BA as we ramp it will be at or above the corporate growth margin average. That will be the -- I would sit there and say is our expectation at this point. There's a big focus here on making sure that we have the right product at the right costs in order to support what I would call these higher-volume markets. So I think that's a big focus of ours. But the question on CapEx, John, you want to cover that, John?
John Anderson: Yes. In terms of CapEx related to expanding our BA capacity it will be roughly -- I mentioned CapEx this year would be 6% to 7% of revenues. Think of about 20% of this year's CapEx would be going to BA capacity expansion that we'll have in place kind of end of Q1 of 2020.
Anthony Stoss: And then as a follow-up. Is it fair to assume for the September quarter guide with your North American handset customer you're playing it fairly conservative given what happened last year? And I know it's tough to parse out phones versus others, but any color would be helpful.
Jeff Niew: I mean, I'm not going to make any specific comments to the customer's forecast. I mean, I would just point to go what analyst expectations are. Generally, speaking and I would say this is not a specific to that customer, but generally speaking that the high-end handset market has been weak. And so I think I would say that we are not -- we don't have overly high expectations from the high-end handset market for the rest of the year.
Anthony Stoss: Got it. Thank you.
Jeff Niew: Thanks, Tony.
Operator: Your next question comes from the line of Bob Labick. Your line is open.
Bob Labick: Good afternoon. Thanks for taking my questions. I wanted to stick with the Ear market as we've been talking about a lot here. Can you just help us get some context and maybe take a step back excluding hearing health about how big is the Ear market for you right now? And kind of what changes over the next year or two with BA going into consumer products and stuff? And how big can that be? I'm having trouble trying to frame your non-hearing health ear sales. Can you give us some way to think about that?
Jeff Niew: Well, okay. I just -- Bob let me just take a step quick back, okay? So we sell microphones in the ear, not hearing health of course. And we also sell what do you call it BAs into the ear non-hearing health. And we also are starting to see some Intelligent Audio sales in the ear non-hearing health. And how we've kind of framed this? This is -- again, I would say that Ear and IoT combined will probably be in the neighborhood of if I look at the numbers here on the wall here it's somewhere between $140 million and $150 million. So that's kind of the number that we're looking at.
Bob Labick: Got it. Okay. And roughly equal between those two or is one predominant?
John Anderson: You mean ear versus IoT?
Bob Labick: Correct.
Jeff Niew: I mean they're in the neighborhood of the same. They're about similar.
John Anderson: I would say the growth rate though ear is clearly growing at a more rapid rate. IoT is plateauing a little bit still growing at a slower rate.
Bob Labick: Okay. And then the opportunity for ear over the next two years as the TWS becomes more mainstream, how do you think about that?
Jeff Niew: I'm going to punt on that one to the Investor Day, because that's a great topic segue to like where we think this business could go in the next 24 months or so.
Bob Labick: Okay, sounds good. We look forward to hearing you guys. Thanks.
Operator: Your next question comes from Christopher Rolland. Your line is open.
David Haberle: Hey, guys. It's David Haberle on behalf of Chris Rolland. Thanks for taking my questions, and very nice execution given the current environment. First question will be kind of a follow-up on Huawei. Has the conflict between the United States and Huawei influenced your share there all yet? And how do you think about that long term? Is there any fears that they'll go more Chinese-based microphones in the future?
Jeff Niew: I'm not going to comment at share of this specific customer. We typically don't do that. I guess what I would say is that Huawei has been a good customer for us over the years. We continue to ship to them. And again, but again as I kind of said earlier in the year, they are not a super large customer for us. We said they're less than 5%. And so I think we offer some unique things that Huawei needs and we're hopeful that we will continue to ship to them. We're hopeful that maybe we'll get approval on the licenses on the stuff that we make in the U.S., but we expect that we'll continue to be able to ship to them.
David Haberle: Got it. Thank you. And then on the Precision Device segment, you guys have really been ramping over the past kind of two years there and we've seen pockets of the capacitor market become supply constrained. And now subsequently that's easing and we're seeing like reductions in inventory levels. I guess, how are inventory levels for your specific Precision Device capacitors? And then also on the Precision Device segment how much of this growth is kind of unit-driven versus price-driven?
Jeff Niew: Yes. So I think if you think about the business as we've just kind of described it, we've got our millimeter wave RF solutions. That is not being affected all by that general marketplace at all. Then we have our high-performance capacitor business, which there's telecom, there's medical, there's electric vehicle, there's defense, and then there's industrial. I would say there is been a little bit of impact on the industrial business. But as you can see and we talk about it the high-performance capacitor business is still growing, and we still believe that this is going to continue to grow because the markets that we're in, we have some very unique offerings that we are building in terms of long-term contracts. We have the capacity in place whether it be defense or implantable market for medical. So we still growth in this market. Just the industrial portion has been a little bit weaker, which is not a huge portion of the business. As far as the inventory, John?
John Anderson: Yeah. In terms of inventory, inventory if you look year-over-year so June 30 to June 30 inventory in our Precision Device business is up, but it's supporting an increased book-to-bill and level of bookings. So, we still -- as I mentioned in the guide, we're still very bullish on growth in the PD business moving into Q3.
David Haberle: Got it. Thank you.
Operator: Your next question comes from the line of Charlie Anderson. Your line is open.
Charlie Anderson: Yeah. Thanks for taking my questions. I wanted to tack on the Precision Devices businesses. It sounds like 5G rollouts are kind of going as planned. I think you continue to sort of articulate the $100 million target in a few years. So I wonder if you can just maybe give us a little bit of color what's going on there. Is everything sort of on schedule as expected? Then also if you can remind us as you have that mix shift to more revenue coming from that piece how that influences gross margin within Precision Devices? And then I've got a follow-up.
Jeff Niew: So, let me just make a comment first on 5G. I would just say, the situation is reasonably volatile yet in terms of what the real slope of this ramp is going to be per millimeter wave 5G. We are delivering product right now to a number of customers, but the slope is a little bit unclear yet in terms of what it's going to look like. So I think over the long-term, we're pretty confident where this is going, but there's going to be potentially some lumpiness at the beginning as certainly will roll out. Maybe they slow it down a little bit. So I don't want to say that we're negative about it, but what I would say is it's just not as clear on the 5G. Now I'll add this. The majority of the sales growth that we've had at this point has been from defense and that business continues to perform very, very well. And so I think there's two pieces to this. There's the military side, which is strong and I think there's a wide variance of outcomes over the next two years on 5G on how fast it ramps. Now, as afar as growth margins?
John Anderson: Yeah. In terms of gross margins overall our Precision Device business for the last two years gross margins have been in the low 40s. So, a little bit -- a little above our corporate average. If you get a little more granular from a product line standpoint, the millimeter wave are up that has a higher gross margin than call it the high-performance capacitors. I'm not going to go into detail more detail in that, but it should be favorable growth in that business. It should be favorable to the PD gross margins.
Charlie Anderson: Perfect. And then for my follow-up, you guys did find $5 million of OpEx savings from IA on IA R&D. I wonder if you can maybe just articulate what's going on there. Was there sort of -- you're sort of completing the program to some degree or is this because you got -- seen the high end of the market maybe a little bit weaker, you want to pull back? Just any additional color there would be helpful. Thanks.
Jeff Niew: Well, I think there's a lot of vectors on this. First of all, there has been a lot more work with third-party partners in terms of algorithms. I think that's been extremely helpful. Secondly, is the product portfolio is starting to be more filled out in terms of the product offering. But I also think -- the thing is I just would say this generally this is not specific to IA. We are very disciplined in how we invest our R&D dollars. I mean, it's a very precious asset that we have and we're pretty disciplined on thinking about this. So, I mean, I think it's a combination of things going on all at the same time.
Charlie Anderson: Great. Thanks so much.
Operator: Your next question comes from the line of Bill Peterson. Your line is open.
Bill Peterson: Yes, hi, thanks for allowing me to ask question. Solid results. I wanted to ask about seasonality. You've grown Precision Device business pretty much literally for the last several quarters. And now, it seems to be on pace with your 21% this year. You've already given the sort of low to mid-single digits for the full year. But how should we think about the seasonality in that business, but also Audio, in other words, we've seen sometimes the fourth quarter declines, sometimes it's up. If you can help us understand the seasonality of these businesses that you come up with your full year view.
Jeff Niew: Yes. So, first let me talk about precision devices. I would say that, we do not see a lot of seasonality in the business in terms of the high-performance capacitors. I would say in the millimeter wave RF, in the short term, I wouldn't call it seasonality, but there could be some lumpiness in terms of the growth based on when people are launching or rolling out a big build of base stations, but we really haven't seen that. It's not large enough yet to have an impact. So, I would say in precision devices, there's not a lot of seasonality. In the Audio area, obviously there's that seasonality that comes in the back half of the year, associated with our largest customer. And I think that seasonality kind of carries over into the early part of the next year prior to Chinese New Year because there's a fair amount of I would say building by our customers in China, prior to Chinese New Year. And then we kind of like wait until everybody get back from Chinese New Year, see what people's inventory levels are as we go from there. So, we really kind of enter what I would say, this really uptick seasonality in audio from probably about the August time that kind of like starts to tail off depending on how our large customer does, depending what's going on in China probably around the end of January.
Bill Peterson: Okay. That's helpful. Your gross margin you say, you're on target for 42%. I believe that's a slight downtick. Is this mainly mix for example a little bit lower Intelligent Audio? You've referenced the higher raw material cost. Is this something that is just going to I guess mitigate itself? Or how long should this last? Any comments on the gross margin including your sort of overview please?
John Anderson: Let me give you a recap on gross margin. It's important to look at it segment by segment because there's different drivers there. But as you mentioned gross margin were 38 -- or I mentioned gross margins were 38% is 130 basis points below the year ago period and at the low end of our guidance. And if you dig in, Audio was really impacted. We had onetime charge relating to a settlement of a warranty claim in the microphone business. That had about an 80 basis point impact. And then the other factor was unfavorable customer and product mix within the Audio segment. We sold lower I'll call it lower-priced older technology to some of the Chinese OEMs in Q2. We don't expect that same pattern to recur in the back half of the year. So that's what is driving within the Audio. The big sequential pickup in gross margins in addition, we expect to run our factory full out in Q3 and Q4. I think our factory utilization the last I looked at was almost 100% in Q3 and call it north of 90% in Q4. So, we're getting better factory absorption, so that's really driving that improvement. Within precision devices, we are impacted by palladium. And palladium, I don't know how close you are to this, but it's currently at record high prices. I think it's like $1600 a ounce, up form about $900 a year ago. That actually is having about a 40 to 50 basis point impact on our overall gross margins. We factored in that prices stay at this level for the remainder of 2019. Again, this is already reflected in our guidance, but that is impacting the year-over-year margins. We do again in the capacitor and PD business, we also expect improved sequential margins due to product mix.
Jeff Niew: Just to give a little color more on the product cost. It's not related to millimeter wave. It's more related to the high-performance capacitors business specifically.
Bill Peterson: Yes. Understood. That's perfect color. Appreciate that. There's been a lot of questions on the wireless headset. But I want to go back to maybe, you talked about the content opportunities, maybe even exceeding $10 in the past. I guess when you break that out, what would you say the percentage is I'd say microphones versus BA versus Intelligent Audio? I mean, is that what all together gets to be $10? Are all these pieces in your portfolio today? Or do you need to develop more products to achieve this type of content growth?
Jeff Niew: No, I don't think we need to develop more products. I think it's -- we've got the product portfolio. If you think about the idea of microphones, I think we clearly see the opportunity Bill for 3 microphones per ear, so that's six microphones per headset or pair or two pieces. And if you start thinking like maybe one of those or two of those mics could be a smart mic, you could start seeing very good content there based on the ASPs you have. We have the balance armature which if you think about the balance armature -- some people want to use one balance armature per ear, but there is a definitely a trend to use two balanced armature speakers per ear. They are actually small enough to fit actually three or even four per ear. And every time that goes up it's not like it goes from X to X plus 50%, it goes X times two times 3. So there is a pretty big opportunity as people want to get more performance with balance armature. In other words, you have kind of a woofer tweeter type situation where you have one that focus on bass and one that focuses on the high-end. And then lastly the Intelligent Audio opportunity beyond SmartMic which SmartMic are mics, but there may be opportunities as we look further out for the multicore DSPs in the ear. So when you start adding this up, you can easily see $10 of content on a headset. And it's not too hard to envision. And what I would say is, you'll probably see some of these start to be introduced later this year.
Bill Peterson: Okay, that’s helpful. We look forward to hear more about this in September. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Tristan Gerra. Your line is open.
Tristan Gerra: Hi, good afternoon. You've mentioned that 20% of this year's CapEx is going to be a capacity expansion that you're going to have in place by end of Q1. How does that translate in terms of unit capacity by then?
Jeff Niew: Yes. Tristan I'm not sure we're going to answer that at this point. I think there's a lot of factors here. We're bringing up I would say, a new way of manufacturing our balanced armature receivers. This is not just taking -- this is why it's taking a little longer. It's not just taking the existing balanced armatures and just putting more capacity in place. This is a very thoughtful way of bringing more capacity online in order to do a couple of things. Number one, bring the material cost down, bring the yields up, reduce the amount of labor content and overall just bring the overall cost down. So I think it's a little early to talk about what that -- how that all translates yet. But needless to say, we expect that it's a pretty good payback on that investment.
Tristan Gerra: Okay. And then you talked about the incremental revenue opportunity that you expect in your Precision Device business. Any feedback you could give us in terms of the dollar content opportunity for your millimeter wave product in 5G base station?
Jeff Niew: Yes. I think, I would like to leave that a little bit for the investor day to talk a little bit about because I think there's a number of opportunities here within the millimeter wave. And I think, we'll lay that -- a little bit more detail on the content. But it's not like we're talking about having like a couple of dollars of content per base station. We're talking to tens of dollars per base station of content. So it's a pretty large number the content but we'll lay more about that at the investor day.
Tristan Gerra: Great. Thank you.
Operator: There are no more questions over the phone lines at this time. I'll turn the call back over to the presenters.
Mike Knapp: Great. Thanks very much for joining us today. As always, we appreciate your interest in Knowles and we look forward to speaking with you on our next earnings call and at our Analyst Day. Thanks and goodbye.
Operator: This concludes today's conference call. You may now disconnect.